Operator: Thank you for standing by, and welcome to the IPH Limited Half Year 2026 Results Presentation. [Operator Instructions]. I would now like to hand the conference over to Dr. Andrew Blattman, Managing Director and Chief Executive Officer. Please go ahead, sir.
Andrew Blattman: Thank you. Good morning, and welcome to the IPH results presentation for the half year ended 31 December, 2025. My name is Andrew Blattman, and I am CEO and Managing Director of IPH. With me today is Brendan York, our CFO. Thank you for joining us for today's presentation and your interest in IPH. Before we get started, I would like to thank the broader IPH team across all our regions for their efforts and contribution to our results for first half FY '26. In terms of how we'll play today, I'll provide an overview of the operational and strategic highlights. Brendan will discuss the financial results in detail. I'll then provide an update on the performance of our 3 segments, Canada, Asia, Australia and New Zealand before concluding with a summary of our priorities for the full year. As always, we are very happy to answer your questions at the end. So moving to Slide 3 about IPH. A quick reminder of the continued growth in the diversity and scale of IPH. We have 7 brands and over 1,700 employees servicing some 26 IP jurisdictions. We have a #1 patent group in Australia and Canada, Singapore and New Zealand. More recently, we're informed by the Indonesian patent office that we are the #1 filer in that country, a testament to the strength of our network across the Asian region. And I'm told we're also giving the leaderboard a good scare in the Philippines as well, which is great. I'll talk more about the benefits of our global network and scale shortly. Moving on to Slide 4 and #5 in terms of the highlights. IPH delivered a solid result for the first half. Despite the ongoing challenges of lower U.S. patent filings in Australia and New Zealand, group underlying EBITDA increased by 6.6% with reported net profit up 10.5%. We had a very strong turnaround in our Canadian business with organic revenue growth, acquisition synergies and cost discipline, driving an 18.9% increase in like-for-like earnings. While the CIPO issues -- CIPO is for your benefit, is the Canadian Intellectual Property Office, so I'll refer to it as CIPO going forward. CIPO issues eased somewhat in this half. There has been no meaningful clearance of the workflow backlog caused by the systems upgrade they did in July 2024. Hopefully, we'll see some of that backlog unwind with associated revenue this calendar year. We also had a very pleasing return to growth in our Asian business. Filings ex Singapore were up 7.3%, continuing the improvement from last year, and that's resulted in a lift in like-for-like revenue and in earnings. IPH remains a highly cash-generative business, and that continued in the first half with cash conversion remaining above 100%. Combined with our strong balance sheet, this strong cash flow has enabled 11.8% lift in the interim dividend to $0.19 per share. The next slide talks about our scale and diversity. And as I mentioned earlier, IPH is truly a global leader with an extensive network and reach across IP secondary markets. This global scale provides resilience and diversity to our earnings base as we benefit from our exposure to an increasing number of IP jurisdictions around the world. This diversity also mitigates any periodic fluctuations in filings in certain markets. While the ANZ market has been impacted by the recent decline in U.S. filings, it's important to note that nearly 60% of IPH group earnings now come from outside ANZ. Our strategy has been consistent for a number of years, to create the leading IP services group in secondary IP markets. Our decision to enter the Canadian market in 2022 was absolutely consistent with that strategy. In just over 3 years, we have built a market-leading IP business in Canada, which now accounts for over 1/3 of our earnings. Just to put that into context, based on our half year results, Canada's annualized run rate is $323 million revenue and EBITDA of over $83 million with annualized patent filings of over 10,000 patent applications. We have achieved acquisition synergies in line with targets. We're delivering organic growth despite the continued CIPO backlog, and we are generating client referrals across the group, which delivers revenue across IPH and particularly into our Asian business. That additional scale has enabled the group to manage the current challenges facing our domestic business in ANZ and still deliver improved earnings and dividends to shareholders. But it also provided an enhanced opportunity to deliver further earnings growth as the CIPO backlog ultimately unwinds and as we continue to leverage our market-leading position to drive organic growth. Moving on to Slide 7. While we have continued to face some market headwinds, including the CIPO backlog in Canada and the decline in U.S. volumes in ANZ, we are responding directly to these challenges. In Canada, we are focused on leveraging our integrated platform for organic revenue growth and cost discipline is laser-focused and is delivering earnings improvement. In Asia, we will capitalize on our market-leading network and unique client proposition to build on the recent increase in filings to deliver revenue and earnings growth. That includes business development activities targeting international corporate clients and also seek to continue our success in garnering case transfers, which provide future revenue events. In ANZ, given the weakness in U.S. PCTs, our member firms are responding with new business efforts deliberately targeting primary IP markets outside of the U.S., including Western Europe, Japan, South Korea and in particular, Chinese incoming filings. At a group level, our focus remains on driving operational efficiencies by leveraging the scale and capability across IPH. We have realigned our cost base in FY '25 and operational efficiencies have reduced our corporate costs by $2.5 million in the first half, which contribute to an increased underlying EBITDA margin. We continue to focus on leveraging our global presence to boost client referrals across our network. We have delivered almost 1,200 cumulative client referrals between IPH Canada and our Asia Pacific offices since we first entered the Canadian market in 2022. In fact, in the last 12 months, we've almost doubled the referral volume. In fact, just in the last week, we secured a further 100 patent case transfer into Southeast Asia, China and Australia from an IPH Canadian firm. Finally, we are further embedding AI into our core operations with the patent drafting and prosecution to administrative functions, thereby streamlining workflows and reducing costs. We're building on the automation we already have with the AI, which now helps us to automate decisions. As we bring in more advanced agent-based AI, we are able to triage instructions, analyze documents, streamline docketing, support lodgements and renewals, giving us more end-to-end automation with less special effort. So that's an introduction. I'll now hand over to Brendan, who will discuss the financial results in more detail.
Brendan York: Thanks, Andrew, and good morning, everyone. Looking first at an overview of the financial results and key metrics. Revenue of $363.9 million was up 6.5%, including an increased 3 months incremental revenue from the Bereskin & Parr acquisition and organic growth in Canada and Asia, partially offset by decline in [ United States ]. Underlying EBITDA increased 6.6% to $107.1 million, primarily reflecting improved earnings in Canada, including the acquisition impact, growth in Asia as well as cost discipline across all segments and corporate. As always, there is a foreign exchange element to our underlying results. The group recognized a net foreign exchange loss of $0.2 million compared to a $1.3 million gain in the prior corresponding half. This was primarily driven by the appreciation of the AUD against the USD and other key currencies at 31 December, 2025 relative to 30 June, 2025. A slide detailing FX impacts is included in the appendix to the investor presentation. Underlying NPATA, which is underlying NPAT adjusted to exclude the income tax affected non-cash amortization of acquired intangible assets, increased by 2.6% to $62.6 million. Underlying basic EPSA increased by 3.9% from the prior corresponding half. That reflects the improved financial performance and also the 1.5% decrease in the weighted average number of shares on issue following the share buyback conducted in FY '25. Statutory net profit after tax was up 10.5%, driven by increased underlying earnings, a reduction in the non-underlying costs compared to the prior corresponding period, partially offset by the increased effective tax rate. Statutory basic EPS was up 12.1%. The company continues to generate strong cash flow with a gross operating cash flow to EBITDA conversion ratio of 101%. This has supported an increase in the interim dividend, which was up 11.8% on the prior corresponding half. The interim dividend of $0.19 per share will be paid on the 24th of March. Looking at the financials in a little bit more detail. The 6.5% increase in revenue included the incremental 3 months contribution in half FY '26 from the Bereskin & Parr acquisition, which we acquired in September 2024. Improved organic revenue growth in Canada and Asia was partially offset by a decline in ANZ. While agent fee expenses increased, these are offset by increases in the recoverable disbursements, which are included in revenue. The 6.8% increase in employee benefits expense primarily reflects the impact of the acquisition, while the benefit of the FY '25 cost reduction program has offset any inflationary cost increases. Underlying EBITDA was up 6.6% to $107.1 million, reflecting the improved earnings in Canada, including acquisition impact, a return to growth in Asia, a reduction in corporate costs and ongoing cost discipline. The underlying EBITDA margin lifted by 0.1 percentage points reflecting improved performance in Canada and Asia, the reduction in those corporate costs, however, tempered by the margin reduction in ANZ. The slight increase in depreciation and amortization relates to the increased expense from the Bereskin & Parr acquisition, offset by property synergies achieved in late 2025. Half year '26 non-underlying expenses, net of income tax impacts were $2.8 million compared to $4.8 million in the prior corresponding period and primarily related to transformation project costs and IT implementation costs. These are also detailed in the appendix. The effective tax rate, excluding the income tax impact of non-underlying expenses, increased from 20.4% to 26.2%. This reflects a normalization of the underlying effective tax rate post the Canadian acquisition activity. We expect this effective tax rate going forward based on our geographic earnings mix. On to our balance sheet. IPH maintains a strong balance sheet. Trade and other receivables decreased by $12.1 million from 30 June, 2025, representing improved collections and an overall improvement in the receivables aging profile. The decrease was offset slightly by an increase in contract assets, which is our work in progress of $6.3 million. The decrease in intangible assets reflects the foreign exchange translation impacts of approximately $19.1 million and amortization of the acquired intangible relationships and other intangible assets of $26.9 million. The key movement in equity was the foreign currency translation reserve, which reduced by $14.1 million from the translation of overseas subsidiaries into AUD, which strengthened this period. On to our cash flow and working capital. The group continues to generate strong cash flows with a cash conversion of 101% and free cash flow up 32% for the half. We maintain a strong focus on working capital management with a $5.9 million reduction in working capital balances. Working capital management will continue to be a focus for the group to unlock further cash. IPH continues to be a capital-light business with CapEx of just $1.5 million for the first half of the year, which was significantly below the prior corresponding period of $6.1 million. CapEx for the first half of this year related to leasehold improvements in Asia and including a new Philippines office. Turning now to capital management. Net debt at 31 December, 2025 was down 6.5% or $27 million from 30 June, 2025. The leverage ratio at 31 December was 1.8x, slightly down from the 1.9x at 30 June, 2025 and remains within the company's maximum target ratio of up to 2x. In December '25, the group refinanced $210 million of its syndicated debt facility agreement on improved pricing terms. Maturity dates for all facilities are in FY '28 and FY '29. The group had a total undrawn financing facilities of $111 million as at 31 December, '25. The interim dividend of $0.19 per share, franked 20% at the corporate tax rate represents a payout ratio of 81% of cash adjusted NPAT. Separately, we have also announced today an on-market buyback program with a maximum capacity of 12.2 million shares. The buyback will commence on 9 March, 2026 and remain in place for 12 months. The buyback provides flexibility as part of the group's capital management program and will not impact the company's existing dividend policy. Turning to the segment like-for-like performance. The like-for-like basis eliminates the impact of acquisitions and foreign exchange movements, which would create a lot of variability in the IPH reported results. I will not spend too much time on this slide as Andrew will provide further analysis on each of the segments in the next section. Looking at Canada first, this represents a strong turnaround in performance with organic revenue growth assisted by acquisition synergies and cost discipline, driving an 18.9% increase in like-for-like underlying EBITDA. Like-for-like revenue and earnings also increased in Asia as this segment returned to growth. As we called out at the AGM in November, the ANZ business continues to be impacted by the decline of the U.S. PCTs being filed with IPH member firms, disproportionately affected by our larger exposure to U.S. applicants relative to the market. Despite the challenges of the lower filing -- U.S. filings into the U.S. and at a group level, like-for-like revenue was up 0.7% and with a 3.2% increase in like-for-like underlying EBITDA on an improved like-for-like EBITDA margin of 0.7 percentage points. I'll now hand over to Andrew to discuss the segments in more detail.
Andrew Blattman: Well, thanks, Brendan. Over the next few slides, I'll provide an update on our 3 operating segments. And the first one, Slide 16, will be Canada. As Brendan mentioned, we delivered a very strong turnaround in the business despite no real recovery in the workflow backlog caused by the CIPO systems upgrade. This has to come at some point and hopefully, this calendar year. But certainly, the turnaround was absent any workflow backlog release. As Brendan mentioned, the underlying results for half year '26 included an incremental 3 months' contribution from Bereskin & Parr compared to the prior corresponding period. And as Brendan also mentioned, like-for-like basis, like-for-like revenue was up 7.3%, reflecting organic growth during the period. As I just mentioned, the CIPO disruption eased somewhat in the first half, volumes in some office actions remain lower than before the CIPO upgrade with no meaningful recovery in the workflow backlog. I'll give some more detail on this in the next slide. One of the hallmarks of our success over the last 10 years has been our ability to integrate acquired member firms into our wider network, uplift revenue, deliver cost synergies and enhance our client offering. The successful integration of Bereskin & Parr is another positive example of this strategy. The synergies we achieved from the Bereskin & Parr acquisition and integration of Smart & Biggar, together with ongoing cost discipline delivered an 18.9% uplift in like-for-like underlying EBITDA, as Brendan mentioned, a strong result. That's also reflected in a significant uplift in the like-for-like underlying EBITDA margin in Canada, which is up 2.6 percentage points. Now the CIPO issues, as you can see on the chart, the CIPO service levels for the current processing work have stabilized after a period of significant volatility. But as I mentioned earlier, we've not seen any meaningful recovery in the workflow backlog from the issues caused by the launch of the new filing system in July '24. So this backlog represents significant stored value or delayed revenue. And as the backlog clears, we expect a flow of revenue generating activity to move through the pipeline. And as the #1 patent filer in Canada, Smart & Biggar and proportionately, our other brand, ROBIC, remain well positioned to capture that increased CIPO work as the backlog clears. Now moving to Slide 18, which is our Asia slide. Look, I'm firstly, very pleased to see a return to growth in our Asian business for the half. Like-for-like underlying revenue was 3.5% ahead of the prior corresponding period with underlying EBITDA up 1.5%. IPH Asian filings ex Singapore increased by 7.3% for the half building on the growth from the prior year, which is starting to yield revenue and earnings uplift. More specifically, we had double-digit growth in 4 countries, including a 37% increase in patent filings in Hong Kong. Vietnam was up 21%. Philippines up 26%. That's good momentum in the Philippines because you might recall, in the August results, we indicated an 82% increase in the second half of '25. And one more country there we don't often hear about, Brunei up 57%, albeit I'd say, off a low base. In addition, we secured more than 2,200 case transfers into the Asian business, including cases registered in renewal phase and in prosecution. These included more than 1,500 trademarks, over 500 patents and 200 designs. Many of these transfers consolidate client portfolios within IPH and of course, support further revenue. The overall Singapore patent filing market declined by 8.6% in half year '26 year-to-date November. There's always a lag in Singapore getting the data, as you might recall, with IPH filings down 13.9% for the same period. One of our largest filers in Singapore and the client that those of you who have followed us for a while has a tendency to go up and down a little bit, which is an ongoing client and significantly reduced filings over the period. And when we normalize for this one client, the market declined by 7.4% with IPH down 10%. IPH maintained our #1 patent market position in half year '26 in Singapore, and as I say, became #1 in Indonesia. And I think we're hitting, hopefully, up the leaderboard in the Philippines, as I said earlier. And we continue to act for a number of the most significant filings in the market. Slide 19 refers to the ANZ segment. And our ANZ business continues to be impacted by the ongoing decline in U.S. PCTs with IPH member firms disproportionately affected by a larger explosion of U.S. clients relative to the market. As foreshadowed at the AGM, the like-like revenue was 6.1% below the prior corresponding half with underlying EBITDA down 10.6%. Given the prevailing market conditions, we continue to align our business to market conditions with a focus on rightsizing and ongoing cost discipline, including a 1.4% reduction in employee expenses during the half. We secured over 2,700 case transfers during the period, including cases registered in prosecution, over 2,400 trademarks, in addition to over 190 patents and over 50 designs which, of course, always support future revenue. And pleasingly, we continue to win significant portfolio transfers in the first months of calendar year 2026. In terms of filings, the Australian patent market decreased by 12.9% for the half, while IPH filings were down by 5.4%. However, as we called out at the AGM, the increase in overall market filings included a large proportion of self-filed and we think AI-generated provisional patent applications. Excluding these applications, which do not represent our client base, the Australian patent market increased by 1.9% for the half with IPH declining by 4.8% for the same period. This represents an improvement from the filing update we provided at the AGM for year-to-date October numbers, where IPH filings again, ex those self-filed cases for July to October were down 7.1% compared to market growth of 3.5% in the first quarter. Notwithstanding the decline in filings for U.S. applicants, U.S. remains the top country of origin for filings, makes up around 30% to 35% of the total market in Australia. Moreover, IPH remains the market leader in Australia with combined market group market share on a normalized basis of 31.5%. Pleasingly, we've also seen our Australian patent filings improve in the last 2 months of Q2 and this continues into Q3. Moreover, in the last month alone, we've also secured an approximately 500 patent case transfer into one of the domestic businesses, a big portfolio win for our ANZ segment. Finally, we've recently seen a slight improvement in the trajectory of U.S. PCT applications. Filings rose in U.S. PCT, our source market -- filings rose from 4,136 in August to 4,500 in September and reached 4,800 in October last year. This improvement over the period provides some optimism for national phase entry volumes in the coming year. So the priorities for FY '26, we continue to build towards our vision of being the leading IP services group in secondary IP markets. Our key priorities in FY '26: to support that vision, include optimizing our network of member firms, targeting organic growth and operational efficiencies. Our focus in Canada is to leverage our integrated platform to drive further growth. We continue to expect improvements in CIPO workflow. And I would say that the timing remains unclear, but I think it's a calendar year 2026 story. In Asia, we aim to capitalize on our market-leading network and unique client proposition to build on the recent increased filings to deliver revenue and earnings growth. That includes business development activities and targeting international corporate clients entering the Southeast Asian market and focus on maintaining our momentum with ongoing case transfers, which provide good future revenue events. Given the ongoing decline of U.S. PCTs in the ANZ, we have refocused our business development initiatives, i.e., the primary IP markets outside the U.S., including Western Europe, Japan, South Korea, as I said earlier, also a significant focus on Chinese incoming filings. As I mentioned earlier, our patent filing performance relative to the market improved in the second quarter. Across the group, we have realigned our cost base and we remain focused on cost discipline to drive further operational efficiency. We are further embedding AI into our core operations to streamline workflows, reduce costs and enhance client services. Of course, underpinning these initiatives is our strong balance sheet with continued high cash generation. Our focus remains on delivering improved returns to shareholders with a flexible capital management plan, including the share buyback we announced today. In closing, I'd like to again acknowledge the hard work and contribution of all our people across the IPH group. Despite some short-term headwinds, and medium-term fundamentals for this business remain supportive for growth. Many thanks to all of you for your continued interest and support. And over to our moderator, where Brendan and I are happy to take some questions.
Operator: [Operator Instructions] And the first question today will come from Apoorv Sehgal with Jarden.
Apoorv Sehgal: First question, just on the like-for-like revenue performance. It looks like in the last 2 months of the half ANZ and Canada improved a bit versus the first 4 months. Could you comment on any specific drivers for that, please?
Brendan York: Yes, they did improve a little bit. So they both went -- there's no sort of specific driver that changed. It's just a little bit of improved filing performance and improved revenue. So yes, we take the good news as it comes. And yes, we've got good momentum into the second half.
Apoorv Sehgal: Okay. Let's -- into the second half then, let's touch on that. So if we sort of start with ANZ, I mean, you were down 6% for the first half, but improved a little bit into November, December. ANZ is cycling a bit of an easier comparable in the PCP as well. So I'm just wondering versus that minus 6% in the first half, do you think you can kind of pare back that negative a bit and recover a little bit in the second half of '26?
Brendan York: Look, we're going to do our very best, and we hope we can. But obviously, we're not committing to a forecast here. But yes, we think the momentum is in a better space in ANZ going forward. As Andrew said, a really nice case transfer win in January. We think there's some more to come. So yes, we're pedaling really hard to close that gap.
Operator: [Operator Instructions] And our next question will come from Damen Kloeckner with CLSA.
Damen Kloeckner: Just a couple of questions from me. Just on your business development efforts in ANZ, is the intention to neutralize exposure to U.S. [Technical Difficulty] 30% to 35% of your filings?
Andrew Blattman: Sorry, Damen, I'm having a lot of trouble hearing you on your phone there. But look, I think we don't resolve from the U.S. It's still the largest segment that generates work coming into Australia. But I think -- so we've got, in fact, one of our team in the U.S. as we speak. But what we have also done is broaden the approach, particularly into the Chinese market. We had the MD of one of the other Australian businesses just came back from China a week ago. He wants to go back in April because I think he had some good traction, which is good. We'll keep him getting his laundry done, he can go back out again. And so that's certainly a focus. But no, I wouldn't say we're walking away from the U.S. That's the biggest market we have. But we just have to do more. And what we're seeing is some good leverage from our Asian business, which is a strong Chinese filing space, and we're trying to leverage that as an entry point for the ANZ business.
Damen Kloeckner: Okay. And then just in terms of the self-filed filings in ANZ, is there any opportunity to win work in this space? Or is it just too low margin and commoditized? How do you see it?
Andrew Blattman: Yes. Well, obviously, you probably could, but I don't think they may pay a bill. That's the only problem. But we've seen this before. It's not the same issue, but it's reminiscent of what we had a couple of years ago of the innovation patent that was never our market base or client base rather. We can't see what these things are, because they don't get published for 18 months. But based on some of the titles and the nature of the title, we think it's an AI-generating type of application. So I'm not sure they're anyone's client at this stage and possibly in the future, if they completed applications, there might be some -- there's some opportunity. But I think we're better off broadening our horizon in China and elsewhere.
Operator: The next question will come from Sam Haddad with Petra Capital.
Sam Haddad: Just looking sat your FX sensitivity of 2.8, that's a bit less than the 3.0, 6 months ago. What's -- is that just sort of mix -- as you sort of mix away or diversify away from U.S. clients? Just can you talk us through what's changed there?
Brendan York: Look, it's a pretty small difference, Sam, a couple of hundred grand. It's really -- it's just as the Canada acquisition embeds into the mix, you get a slight sort of push up towards more on CAD where they'll build their clients in CAD terms. So that's really all it is.
Sam Haddad: Okay. Is there anything -- you remain sort of passive in terms of how you're managing currency. I sort of missed some of your presentation, apologies. Just how are you thinking about currency and managing that given where the spot rate is today?
Brendan York: Yes. Obviously, it's been a pretty volatile movement even from December to now. We have some forwards in place for USD to AUD to -- our exposure obviously risks off the USD billings and then the USD receivables that sit on our balance sheet. So we've got some forward cover hedges in place, and we'll just follow that policy. And that's probably as much as we can really do. Our model works the way it does, and we're not going to change that, but we'll manage the currency through forwards.
Sam Haddad: Okay. And just on Canada legal pipeline, that was pretty soft, I think, it was pretty patchy through the last 6, 12 months from memory. Is that -- are you seeing a better pipeline in terms of cases in Canada?
Andrew Blattman: Yes. Canada is probably the space the legal pipeline has more impact. And I will say, given that the Bereskin business and the Ridout business had a smaller legal component as they came into Smart & Biggar, the overall -- our overall exposure to legal revenue is less than what it was when you had Smart & Biggar stand-alone. But even notwithstanding that, I think the pipeline is quite healthy in Canada at the moment. Now you never know until they -- till get to the courthouse, Sam, because these things have a tendency to suffer from worldwide settlements, but nothing is implying settlement yet. And I think the Canadian litigation should be okay this year, but let's just see. It is a variable business.
Sam Haddad: Okay. And just finally, just on China again, how do you feel about progress there in terms of trying to get build share in terms of outbound work into -- across Asia and into other areas?
Andrew Blattman: Yes. No, it's -- we're seeing certainly good traction of China into all the businesses. I've asked all the business units to have a China strategy to execute, and they are executing. I guess we probably see the most momentum coming into Southeast Asia, where we have a large number of Chinese corporates that filed directly with us and probably more than what we see in ANZ. And certainly, there's some R&D from Chinese corporates done in Canada, which we also do quite a bit of original drafting for, that's a lower-margin business, but it's quite a substantial business. But no, I think every business unit has to have a China focus. And at the same time, we're also getting a good, healthy inflow of work into our own Chinese operations. So whether it be through the network of agents that we have in IPH or corporates coming in, mainly corporates coming in directly into China for us and also, as I say, our own particularly the Canadian business into China, which has been very good for. That number I gave, the 1,200 cumulative referrals -- business referrals, that's certainly seen great momentum in the last 12 months, probably on the back of the Bereskin & Parr acquisition, particularly, which had a strong domestic client base. And I must say that business now Smart & Biggar and leadership team there have been able to segue a lot of that work into our China offering, which is terrific.
Brendan York: Yes, those referrals have doubled in the last 12 months. So it's really good momentum.
Operator: The next question is a follow-up from Apoorv Sehgal with Jarden.
Apoorv Sehgal: I wanted to ask about kind of AI and Damen's question before about the self-filers that have seen a bit of a surge in applications using AI software. Just Andrew, could you just unpack sort of what kind of risk does that present to the industry? Like if this becomes a bit more of an ongoing trend, does that eat away a bit at that upfront revenue pool? I know that examination works to the cream for you guys, but that sort of upfront filing revenue, do you think that comes under a bit of pressure if self-filing as a trend sort of picks up?
Andrew Blattman: Yes, fair question, the IP, but I don't think it's a big issue for us as that we're a secondary player. So drafting original applications is part of what we do, of course, but it's a small part of what we do, whether it's AI or the hard -- the [ efforts ] of the individual, it's still a small part of what we do. We -- the biggest -- I think it's our domestic revenue proportionately across the group as a whole would be 20%, maybe 22%. And that's a combination of trademarks through to litigation for domestic clients. But I think for us, look, the AI story for us is certainly the technology underpinning AI, which generates more patent applications to protect the AI technology, particularly out of China now. I think 70% of the filings in AI are the Chinese applicants in more recent times. And how we utilize AI ourselves, whether it's -- we have 3 or 4 offerings at the moment going through the business. And it's so dynamic that you never want to pick and stick too closely because you've just got to see who wins this race. So we've got to be fairly nimble on it. But we're certainly putting a lot of effort into it, whether it's how we streamline our own operating process, how we draft our own patent applications and how we do our own patent prosecution, particularly. All of it can be looked through our AI lens, and that's probably the most exciting opportunity in the whole business at present.
Apoorv Sehgal: And actually, on the maybe the benefit side, my understanding is some of that upfront kind of drafting sort of work is often done by like administrative staff, like not necessarily like your actual patent attorneys. Does that -- if you're kind of using more AI and more automated sort of software internally, does that present some sort of cost efficiency opportunity for some of that sort of upfront kind of work? And are you seeing that already?
Andrew Blattman: I will say on that, the drafting work is -- can't be done by anyone other than patent attorneys or trainee patent attorneys under the supervision of a qualified attorney. It's just too difficult and it's too risky. So it is -- it does involve the professional. It is a labor-intensive process, and it's -- I've done enough myself over 30 years and it is a tough process. So I think there's certainly an assistance of AI to get a first draft, maybe even a second draft. But ultimately, it's going to come out under the name of the patent attorney. But I think, sure, it's useful in that we can have less labor involved in generating the first draft. But I think the biggest impact, given the fact that we are a secondary market and so that by a receiver of application and the patent prosecution process is how we use AI in receiving instructions, how we use AI to update our database, how we use AI to actually undertake the patent prosecution process. That's where the real value lies for us, and that's where our focus is.
Apoorv Sehgal: Okay. And just one more if I can on AI, just a topic of interest these days. The translation work you've done historically in Asia, just remind me, was that kind of translation work you're doing being disrupted by some of the competing AI products that were coming out of the market? And can you just remind like how big was that translation work you're doing in EBITDA terms?
Brendan York: We don't break up by that in EBITDA terms. It's not a significant proportion of the earnings of the group or revenue, to be honest.
Andrew Blattman: Look, for us, we don't have translators -- direct translators in the Asian business. So we use third-party translation across the region. What we do, do is have a quality control within each office within Southeast Asia. There's only 4 countries that have translation in our space, that's China, Indonesia, Thailand and Vietnam. And we rely on our internal people to do quality control and check. And of course, there's a margin attached to what they bring to that. So we don't actually do the translation ourselves in that context. I expect AI will have a role in translation. Of course, it will. But we're not doing that first phase anyway.
Apoorv Sehgal: Okay. And if I could have one last question, if I may. Just switching quickly to Canada. When you -- just remind me, Andrew, when you bought Smart & Biggar late 2022, I think the partners had sort of 4-year minimum term agreements which was...
Andrew Blattman: That's correct. You're correct. You're correct. That's right. So October '26 would be their 4-year roll-off term. And look, our Managing Director there in Smart & Biggar called Stuart Wood, you may have met over the years, stays pretty close to that principal group. And I expect some will retire given their profiles. But we also pleased to say a number of asked to continue, which is fantastic. So I'm not -- I don't expect a massive rush out the door in the context of those principal. They enjoy what they do. They're good professionals, and we love to have them stay on. And I think the indication generally is that there's a large proportion will.
Apoorv Sehgal: And of those who are deciding to step on, does that sort of come with a bit of a step-up in compensation to keep them?
Andrew Blattman: We don't talk about the [ integration ]. It's performance-based remuneration now, I think for all of us. So the more better we perform, the better we get remunerated, which is good for everyone. So that's the nature of the world we live in now.
Operator: And this concludes our question-and-answer session. I would like to turn the conference back over to Dr. Blattman for any closing remarks.
Andrew Blattman: Well, many thanks, everyone, for your interest and support. I'm pleased to see the result. Canadian story is fantastic. Asia returning to growth. It's always -- I've been a very soft spot for Asia for a long time, and it's great to see it coming. I was in our Philippines office last week as we opened a new service office there. Also KL there new office because we're getting more people there. Great momentum coming through, and I have high hopes and confidence in the ANZ business will return. So that's where we are. And we'll speak during the week, I'm sure. Thank you.
Operator: This concludes our conference call for today. Thank you for your participation. You may now disconnect.